Operator: Good afternoon, and welcome to the Ethan Allen Fiscal 2018 First Quarter Analysts Conference Call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. [Operator Instructions]. As a reminder, today’s program maybe recorded. It is now my pleasure to introduce your host, Corey Whitely, Executive Vice President, Administration and CFO. Thank you. You may begin.
Corey Whitely: Thank you, Jonathan. Good afternoon and welcome to Ethan Allen's conference call for our fiscal first quarter ended September 30, 2017. This conference call is being recorded and webcast live on ethanallen.com where you will also find our press release, which contains supporting details including reconciliations of non-GAAP information referred to in the release and on this call. As a reminder, our comments today will include forward-looking statements that are subject to risks and uncertainties which could cause actual results to differ materially. Please refer to our SEC filings for a complete review of those risks. The company assumes no obligation to update or revise any forward-looking matters discussed during this call. After our Chairman and CEO, Farooq Kathwari, provides his opening remarks, I will follow with some details on the financial results. Farooq will then provide further updates on our ongoing business initiatives before opening up the telephone lines for questions. With that, here is Farooq Kathwari.
Farooq Kathwari: Thank you, Corey. I’m pleased to discuss our first quarter results and focus. As you know, many changes continue to take place in the economy, in consumer attitudes, in the competitive environment and in technology disrupting many enterprises. I’ve stated before that today you better be a disrupter or you will be disrupted. After Corey provides a brief financial overview, I will discuss our initiatives and the 85th year celebration convention we held last week, which was attended by more than 550 team members from all areas of our enterprise. We discussed main areas of focus to help us increase sales and profitability. These included the various channels we utilize to grow sales, continued development of talent, production of relevant offerings, expansion of our marketing efforts, the combination of technology with personal service and the strengthening of our unique vertically integrated structure, which enabled us to continue manufacturing of our 75% of our products in our North American workshops. Corey?
Corey Whitely: Thank you, Farooq. For the first quarter of fiscal 2018, our total written orders for the retail segment increased 1.7% for the quarter, which followed an 8.1% increase in the prior year first quarter. The company estimates total written orders would have increased 2.5% without the disruption from the hurricanes. The hurricanes disrupted summer key markets in which the company operates. 15 design centers in Florida, including 11 company-operated locations, plus five company-operated design centers in the coastal Carolinas were affected by Hurricane Irma; and 11 design centers in Texas, with five independently operated locations in the Houston market, were impacted by Hurricane Harvey. Design centers and delivery centers were closed anywhere from a couple of days to more than a week, with an effect on both written orders and net delivered sales. Hurricane Harvey also disrupted the company's wholesale logistics, as the temporary shutdown of railway shipping through Houston impacted shipments from the company's upholstery plant in Mexico, and ocean freight arrivals were delayed into the Port of Houston for products in route to our Oklahoma distribution facility. Our consolidated net sales were 181.3 million for the quarter compared to 193.3 million in the prior year quarter. We estimate that the hurricanes and first-run production of new products disrupted consolidated net sales by approximately 7% to 8%. Retail net sales were 141.6 million and wholesale net sales were 111.6 million. At September 30, our retail division backlog was up 11.6% and the wholesale backlog of 61.6% from June 30, 2017. We ended the quarter with 150 company-operated design centers, an increase compared to 145 in the prior year quarter. Part of the wholesale backlog increase is related to 12.4 million of wholesale orders we have received from the Department of State, 10.4 million of which were orders booked in the first quarter. International sales were 11% of consolidated sales during the quarter. That compared to 10.9% in the prior year quarter. Consolidated gross margin for the quarter was 55.3% and was negatively impacted by the hurricanes and first-run production of the new products. The mix of retail segment net sales to consolidated net sales for the quarter was 78.1% compared to 78.8% in the prior year quarter. Adjusted operating expenses were 87.9 million compared to 89.5 million in the prior year, lower primarily due to decreased advertising expenses and lower variable costs. Adjusted operating margin was 6.8% and adjusted net income of $0.28 per share compared to $0.43 in the prior year quarter. Adjustments in the current year quarter included 0.8 million of costs related to organizational changes that included costs associated with some headcount reductions made in our headquarters and distribution division that also included an early termination of a capital lease. We also incurred a charge for the write-down of unamortized financing charges related to the early extinguishment of our term loan, which is reflected on the other income and expense line. The prior year quarter adjustment reflected a 0.6 million on the sale of real estate. All these items were tax affected for the adjusted EPS calculation. We estimate the impact of sales and operating expenses due to the disruptions of the hurricanes and first-run production reduced adjusted EPS by $0.14 to $0.15. Our effective tax rate was 35.1% for the quarter. The company’s structural rate remains at 36.5%. We have a strong balance sheet. At September 30, 2017, we had no debt outstanding under our credit facility having paid off the term loan during the quarter. Our total cash and securities totaled 59.8 million. During the quarter, we paid out dividends of 5.2 million, an increase of 10.6% compared to the prior year quarter and we invested in capital expenditures of 2.7 million for the quarter compared to 7.4 million in the prior year quarter. We expect about 20 million in capital expenditures for the full fiscal year. Compared to September 30, 2016, customer deposits of 69.2 million increased 6.8 million and inventory of 157.5 million decreased by 1.8 million. With that, I’ll turn it back over to Farooq.
Farooq Kathwari: Thank you, Corey. The main highlights of our convention last week included recognizing the contributions of the many associates in our retail, manufacturing, logistics and corporate networks. The convention was attended by more than 550 team members. That number includes management as well as 235 of our top interior design associates from North America and overseas whose achievements were recognized during the event. We discussed our key focus for growth, which includes increasing sales and profitability of the company-operated retail division. This is one of our largest opportunities to increase overall profitability. The company retail division currently has 150 retail locations, representing 76% of our total design centers in North America. For fiscal 2017, total consolidated delivered sales for the company were 763.4 million with an adjusted operating income of 65 million representing 8.5% of sales. Retail division net delivered sales of 603.7 million represented 79.1% of total consolidated sales while the retail division’s adjusted operating income was 1.3% of sales. For the fiscal first quarter ending September 30, 2017, due to disruptions delivered sales for the retail division amounted to 141.6 million representing 78.1% of total consolidated sales and an operating loss for the retail division of 2%. Over the years, we have been acquiring design centers from retiring retailers, repositioning them to more relevant locations and strengthening their management, design and logistic teams. We’ve also been opening new design centers in strategic markets recently adding locations in the Flatiron area of Lower Manhattan; the Buckhead area of Atlanta and in Downtown Chicago. Over the years, we have continued to incur losses in transitioning the retail network. For fiscal 2017 and for the first quarter of fiscal 2018, losses attributed to the locations in transition amounted to 4.1 million and 1.4 million, respectively. As we move forward, our objective in the next few years is to operate our company retail division at an operating income of about 5% compared to about 1.5% of adjusted operating income in the last few years. As I’ve stated about increasing profitability in our retail division is a major priority and opportunity. The next area of growth we discussed at our convention is our wholesale business. Our wholesale division sells products to the company retail division as well as to all outside customers. The wholesale business in fiscal 2017 had sales of 453.3 million with adjusted operating income of 12.3% of sales. For the first quarter of fiscal 2018, wholesale had sales of 111.6 million and an adjusted operating income of 12.8% of sales. During the last three years, wholesale adjusted operating income has averaged 14% of sales. With increased sales, the wholesale division has operating leverage to improve gross and operating margins. In addition to growth from our North American independent retailers and international retailers, we are focused on expanding our contract business including our association with the U.S. State Department. We have received 12.4 million in wholesale orders for the State Department, including 10.4 million during the first quarter of fiscal 2018. The program went live on the FedBid Web site on July 1st. During the month of October, no bids were issued after a hectic last quarter of the garments fiscal year ending September 30. We expect the process to start again in November. We are also in the process of developing contract business through special relationships with organizations such as Margaritaville and Disney. The first project with Margaritaville involves furnishing about 1,100 homes and a 186-room hotel in Orlando, Florida. We expect to start shipping for the first of the 1,100 homes in the fourth quarter of this fiscal year and expect to complete the shipments over about a three-year period as the homes are built. The hotel furnishings are scheduled to ship based on estimated completion of the hotel construction in the fall of 2018. A focus on increasing digital mediums such as EthanAllen.com, Amazon and Disney and Live Chat by our designers should result in increased online sales. The main benefit is customers visiting our design centers and interacting with our interior design professionals. During the convention, we introduced our network to our new Uptown projection with the consumer launch expected in April 2018. This follows the consumer launch, our Passport in November 2017. During the past three years, our main focus has been on developing and expanding our more relaxed offerings, which included Santa Monica, Buckhead and Brooklyn. Passport, while still in the relaxed category, has strong elements of a global attitude with inspirations from many places in the world. Uptown, as the name implies, is more formal while maintaining the characteristics of livability. As with Passport, the new products were extremely well received by our associates. Our focus and initiative regard the environmental stewardship, safety and social responsibility is a major competitive advantage as it motivates our associates and our clients and reduces costs. Acquisition, retention and training of talent is a major focus. We, at the conference, we discussed about our strong management teams in marketing, manufacturing, logistics and retail. In our retail division alone we have about 200 managers, most of whom have risen through the ranks of our organization, with more than 1,500 motivated and knowledgeable in-house interior designers in North America and about 2,000 internationally. We maintain a strong competitive advantage. The focus on acquiring, motivating and retaining talent in other areas including design, merchandizing, manufacturing and technology was also a major focus of the convention. Our focus on marketing to expanding our reach to more consumers; today, about 70% of consumers who visit our design centers first visit us digitally via EthanAllen.com and now through Amazon and Shop Disney. During the first quarter, we focus our efforts on developing stronger and relevant messages. While this was in process, we decided to change the timing of some of our advertising spend from the first quarter to the following three quarters. We have continued to increase our advertising digital mediums, while reducing in the more traditional mediums. Our advertising spend represented 4.1% of sales compared to 4.4% in the previous year. We also need to keep in mind that our marketing on Amazon entails a compensation which is not reflected in the advertising expenses. While in the first quarter of fiscal 2018 not significant, we expect it to grow. Our initiative with Disney continues at about the rate we saw in the last quarter and we are just getting started launching stronger marketing in conjunction with Amazon. At this stage, while our online business continues to grow, most clients, even those chatting online, like to visit our design centers and interact with the designers. Combining technology with personal service is the new reality. We discuss our investments in the last few years in appropriate technology for our manufacturing, logistics and retail networks. Last year, the focus has been on having our interior designers qualify for live chat. Currently, 550 of our interior designers are qualified and we expect that number to grow. We discussed initiatives to strengthen manufacturing and logistics. These included increasing capacity, faster delivery and continued focus on quality. At the convention, a number of craftspeople from across our manufacturing division were on hand to demonstrate the work they do. These workshops were very well received, especially by our interior designers. Our convention served to reinforce for all our associates these key initiatives and areas of focus for the company and I’m pleased with the motivation and enthusiasm of our team. As Corey mentioned, we have continued to strengthen our balance sheet. As of September 30, cash on hand was 59.8 million. We had zero debt and customer deposits of 69.2 million. During fiscal 2017, we distributed $20 million in dividends representing 32.8% of our free cash flow. In the first quarter of fiscal 2018, cash dividends were 5.2 million, a 10.6% increase from the previous year. We continue to review the best opportunities to utilize our cash while also keeping in mind that we are in a cyclical industry. With that, we will open it up for any questions or comments. Jonathan?
Operator: Certainly. [Operator Instructions]. Our first question comes from the line of Bradley Thomas from KeyBanc. Your question please.
Farooq Kathwari: Hi, Bradley.
Sumit Desai: Hi. This is Sumit Desai on the line for Brad. Good afternoon, Farooq and Corey, and thanks for taking my questions. On the State Department contract, can you talk a little bit more specifically about the 10.4 million of orders in the first quarter and how we should think about extrapolating the run rate there, whether there’s any seasonality to that given that fiscal year-end and what percentage of orders you think you’re capturing? Thank you.
Farooq Kathwari: Yes. Sumit, this is somewhat known in the sense that this just got started in this last quarter and the last quarter for the government is when they do tend to give large orders. So we’re going to see as they open it up again that – as we understood initially that it is approximately close to $50 million annual contract before the FedBid. The FedBid does to some degree reduce the amounts. So I think that that is the case. You’re talking about anyway from $12 million to $15 million a quarter even though keeping in mind the last quarter is strong. We do not completely know all the numbers, but I believe that we did get the substantial portion of the contract.
Sumit Desai: Okay. That’s great to hear. If I could talk about Passport and I believe you’re launching the new product assortment in November and could the first-run production of that represent the majority of the increase in the retail backlog, and how significant is the presentation going to be on your floor space?
Farooq Kathwari: The retail backlog is different than the wholesale backlog. The Passport impacted our wholesale backlog because the retail backlog really is sold orders to our customers. So Passport had no impact on the retail background. It had basically more at the wholesale level. So retail backlog was really sold orders to the customers.
Sumit Desai: Okay. And can you comment on how significant or what percentage of your floor space maybe allocated to Passport?
Farooq Kathwari: It’s relatively small. We are introducing product lines. Even the next one, the Uptown is very, very tight. Very careful I would say if I just had to guess no more than 800 – about 800 square feet or so.
Sumit Desai: Okay, great. Thank you.
Farooq Kathwari: Thanks, Sumit.
Operator: Thank you. Our next question comes from the line of John Baugh from Stifel. Your question please.
Farooq Kathwari: Hello, John.
John Baugh: Hello, Farooq. I know you touched on advertising and I apologize, I missed the commentary. I know it was a point of earnings leverage this quarter. Could you tell us maybe the next three quarters what the plan is on advertising as well as on promotional activity? I believe you talk about tightening that up moving forward. And the follow up and maybe in conjunction with that, the key driver is to the 350 basis point expansion you’re talking about in retail margin. Thank you.
Farooq Kathwari: Okay. Good, John. I said that our advertising for the quarter and I used the word traditional advertising not the advertising now that we are doing throughout the digital mediums, like Amazon, was 4.1% this quarter versus 4.3% or 4.4% in the previous year. Going forward – John also I think one has to also keep in mind when we talk of advertising, we also have to take a look at the promotional impact. Today, we have to whether we like it or not, there is somewhat more of you might say higher discounting going on even though for us it’s relatively small compared to others. But we got to also keep that in mind in terms of the special offers that we make and the impact that they have in the business. Going forward, I would say that our advertising spend in more of the traditional manner would range anywhere between 4%, 4.5% and our promotional activity will be similar to what we have today.
John Baugh: And then what would be – how does the margin in retail improve? Is it strictly volume related, are there cost reductions planned, is there reduced promotional activity? What would be the keys to making that happen?
Farooq Kathwari: Yes, that’s an important question. The top 10% of our design centers already have produced over 8% operating profit. The reason this – so when you take a look at our operating profit, even like a negative 2%, a lot of it is due to volume. As our volume decreased in this quarter, it has an impact on the breakeven. So increasing sales is tremendously important. We are already at a level where any incremental sales will have a significant impact on our margins. We see that at our wholesale level and we see that at our retail level. So increasing profitability is important. The second is that we have gone through the transformation continuously of many of these retail locations that we have taken over from our independent retailers and then we have relocated them. That process has been a major process in the last five years. The good news is I think we’re towards at this stage we are slowing that down and that will give us an opportunity to catch up and not have these losses that we have in what we call the transitional stores.
John Baugh: Okay. Thank you. Are there any raw material issues, I guess, [indiscernible] popular topic today? Any pressures there that can turn you? I think you did your pricing already for the year if I’m not mistaken, but any adjustments needed on pricing given raw material inflation?
Farooq Kathwari: John, there’s always some pressures from some sources but nothing significant that will not be covered by the price increases that we took.
John Baugh: Great. Thank you. Good luck.
Farooq Kathwari: All right, John, thanks.
Operator: Thank you. Our next question comes from the line of Jeremy Hamblin from Dougherty & Company. Your question please.
Farooq Kathwari: Hello, Jeremy.
Jeremy Hamblin: Hi. Thanks for taking the questions and congrats on the traction you’re seeing in some of these programs. I wanted to see if I could clarify some things on your backlog. So if you look just at your wholesale backlog and the color that you provided, that increased by nearly $30 million in the quarter. And I think if you add in the 11.6% retail backlog growth, that’s probably combined almost to $40 million increase in your backlog over the last three months. Can you give me a sense of when you can deliver on those backlogs? How long is it going to take you to work down those backlogs given the time of year and holiday production demands and so forth?
Farooq Kathwari: Jeremy, I would say that we expect about half of that to be delivered this quarter and about half in the next quarter.
Jeremy Hamblin: And kind of as a follow on to that, it sounds like maybe the traction that you got on the State Department contract surprised even your highest expectations. Two questions here. The first is, is it fair to assume that you guys captured more than 50% of the orders that were posted over the last – since it went to an online process in early July? And then the second one is I believe you have like a 60-day requirement to deliver on that and it sounds like you’re putting that maybe a little bit at the front of the line and that could be some of the reason why your retail backlog grew as much as it did. But is there any risk to not delivering some of those orders on time and needing to ask to an extension? I’m sure that you’re prioritizing that contract given the size of it and the newness of it.
Farooq Kathwari: Yes, Jeremy, it is fair to say that we did get over 50% from what we understand of the orders. We also – the 60-day requirement was and is somewhat of a challenge because some of the product lines were not our current product lines that we were running. In fact, some of the – one of the product lines we had to bring in was a product line called Georgian Court that we were selling in the 1980s and '70s and '80s. We brought that back because it’s an 18th century design and they like it. So we did have to get going and producing this product line in a relatively short period of time. At the same time we were also making floor samples on our new Passport collection. All of those contributed to creating some backlogs for the retail division that they did not receive the sold orders because of the timing of this. And the good news is we are fast catching on and we are also as I had mentioned previously to John that we would expect this backlog, half of it to be covered in this quarter and about half in the next quarter. And as far as the State Department is concerned, I don’t think we have any issues. One good thing is this that after they place all the orders, our team has been in touch with all the embassies and some of those orders they now want in a little bit extended time period, so that also works good for us.
Jeremy Hamblin: Great to hear. And then just one more and I’ll hop back in the queue. Your operating expense run rate, about $88 million in the quarter given the adjustment there, I think what you said was your advertising was only down like 300,000. In terms of thinking – and I realize there’s a variable component related to sales being down $12 million, but I think even if that was a more normalized number on sales, does it look like your run rate is closer to 90 million, which is where you’ve been the last couple of quarters rather than up in the 91 million or 92 million range?
Farooq Kathwari: Yes, just to tell you our advertising – again, I use the word traditional advertising because we did spend money in order mediums which affected our cost of goods and margins. I think the advertising was down by about $1 million or so.
Corey Whitely: Right. It was 4.1% this year versus 4.4% last year of sales [indiscernible] 1.1.
Farooq Kathwari: What was the next question, Corey, that Jeremy had?
Jeremy Hamblin: On the longer term the operating expense run rate, it feels like or it looks like it’s pulled back a little bit and maybe that’s part of getting to a slightly higher margin that it looks like your run rate, if you normalize sales to be equivalent to last year, probably would have been about $90 million as opposed to $91 million or $92 million where the run rate had been tracking previously. Is that fair to assume? Is that something you’ve just tighten it a little bit?
Farooq Kathwari: Let me give a little perspective on that because we have fixed costs and then we have variable costs. The variable costs especially in the retail end of the business, for instance payment to all our interior designers. Our logistics is somewhat of a variable cost. So as we increase our sales as a percentage, the chances are our operating expenses will be same or lower. But in dollar amounts, it could higher and I don’t mind having them go higher, because they will go higher because they’re increased in sales. On the wholesale side, obviously there are some variable costs, but less. So we do have an operating leverage, as I mentioned, both at the – certainly at the wholesale level and even very much also on the retail level. So I would say that the leverage is there but overall costs could increase based on increase in business. At this stage, about $90 million is the run rate.
Jeremy Hamblin: Understood, because I guess what you’re saying is over the next couple of quarters as you deliver in this massive growth in your wholesale backlog, that won’t translate to as much variable cost because it’s a wholesale order, correct?
Farooq Kathwari: That’s right, yes.
Jeremy Hamblin: Okay, great. Thanks, guys. Good luck.
Farooq Kathwari: Thanks, Jeremy.
Operator: Thank you. Our next question comes from the line of Cristina Fernandez from Telsey Advisory Group. Your question please.
Farooq Kathwari: Hello, Cristina.
Cristina Fernandez: Hi. Good afternoon. I wanted to follow up on your commentary regarding the operating margin opportunity and how you could benefit from the relocated stores being more profitable. As you look back at some of the stores that were relocated a few years ago, like how long does it normally take, how many years for those stores to get to that sort of mid-single digit operating margin?
Farooq Kathwari: It depends on – there is no one simple formula. It also depends upon where the locations are, what kind of volumes we are doing. But I would say – if we had to generalize something, I would say it takes between two to three years.
Cristina Fernandez: Okay. That’s helpful. And on a different topic with regard to the Amazon interior design Web site, I guess can you share what you’ve learnt so far and what has been selling better through that site?
Farooq Kathwari: It’s a little bit early because this was somewhat of a learning experience for both sides, because as you know what we established on the Amazon was an Ethan Allen design studio not just selling it as a commodity. We also established with them live chat which in fact took a fair amount of time to get going and which is now operating, but still some bugs but it is operating. So what we have learnt is the fact that it does expose us to more customers. We are doing some business on Amazon, but as I said earlier we are also seeing that a lot of those folks do come into our design centers and meet our clients. Some of them are starting to do live chat. And if they do any live chat, then obviously we credit Amazon for the sale. It’s a little bit early but I think we’re going in the right direction. In fact, we just launched with them what they have what’s called a holiday gift guide. So we participated in that with two or three items, so they are very heavily marketing those few items from us as they’re doing with many other items too. So most probably you may be seeing those two or three items from Ethan Allen as part of the Amazon gift guide for the holidays.
Cristina Fernandez: Okay. And then one last one on the Disney collection. How is that doing if you’ve expanded to new channels, like DisneyStore.com and some of the international locations? And as you look to introduce Passport and Uptown over the next six months, do you expect the square footage of Disney to remain the same in your design centers or you plan to make changes to that?
Farooq Kathwari: Yes. We have seen as I said in my comments the rate in the United States is approximately what it was before. Has been somewhat more of an increase in China, they’re doing well. And as far as the space is concerned, our objective was to give it a reasonable – in fact a fair amount of space for about a year, year and a half. And then we’ll still give it space but that space will then be utilized for some other programs that we are intending to introduce next summer.
Cristina Fernandez: Okay. Thank you.
Farooq Kathwari: All right, Cristina.
Operator: Thank you. Our next question comes from the line of Justin Bergner from Gabelli & Co. Your question please.
Farooq Kathwari: Hello, Justin.
Justin Bergner: Hi, Farooq. Hi, Corey.
Corey Whitely: Hi.
Justin Bergner: Just want to clarify a couple of things. The advertising spend is now going to be on the order of 4% to 4.5% versus just over 5% of sales last year, is that the current thought?
Farooq Kathwari: Well, I think that we have had – perhaps there’s one only period that our advertising went to 5%. Most of the time it has been in the range of between 4%, 4.5%. And so that’s where – it really is a question of if you take a look at it, we did have – for our last fiscal year we did have – it went to 5.2%; before that it was 4.3%, 4.2%. So I think it will range between 4% and 5%, Justin.
Justin Bergner: Okay. Thank you. And then I think I missed a comment that you made at the beginning of the Q&A regarding the State Department. Was there something that’s affected the overall size of the program?
Farooq Kathwari: What I said was this that this is the first time the State Department has put it on this FedBid which makes it – that you got to bid on every one of the contracts. And what it has done is because it has made it more competitive, so I think it has to some degree lower the overall contract in our opinion.
Justin Bergner: Lower the overall ASP or lower the actual amount of merchandize?
Farooq Kathwari: No, overall. They’re expected to be close to $50 million or $60 million. It will be probably somewhat less than that, but still pretty significant.
Justin Bergner: Okay, got it. And then is the margin on the State Department business, are you expecting it to mix up or mix down versus your wholesale margin?
Farooq Kathwari: It most probably will be somewhat lower than our regular margin, because of this FedBid. But what it does is it creates – having said that, it has a very major positive impact of creating an overall operating margin improvement in our manufacturing because incremental business has an opportunity of creating more incremental margin even though for the State Department it may be somewhat lower than the margin we get from selling at retail.
Justin Bergner: Okay. So just to put words around that, the incrementals might keep pace with the margins in the wholesale business today even though if you were to look at it on a standalone basis, it would be lower margin business?
Farooq Kathwari: That’s right. That’s a better way of putting it.
Justin Bergner: Okay, got it. And then your cash balance is building up. Are there any plans to do anything with that cash balance, resume share repurchases or other activities?
Farooq Kathwari: Justin, we always are going to keep that in mind. As you know, we have been over the years always proactive. But I don’t mind sometimes having some money in the bank and then we decide what to do with it.
Justin Bergner: Okay. Is there a sort of point at which you do a special dividend if you don’t sort of want to ramp with repurchases? Does the cash balance just get too big --?
Farooq Kathwari: We have done that in the past. We have purchased our stock. We have given special dividends. So all of those things will be under consideration.
Justin Bergner: Okay. All right, thank you for taking my questions.
Farooq Kathwari: All right. Thanks, Justin.
Operator: Thank you. Our next question comes from the line of Matt Kupersmith from Iron Compass. Your question please.
Farooq Kathwari: Hello, Matt.
Matt Kupersmith: Hi, guys. Just a few questions focused on the retail business. First up on the dollars per order, were the dollars per order in the retail business down year-over-year?
Farooq Kathwari: No. It’s approximately – you’re talking of retail tickets or orders – retail ticket orders, Matt?
Matt Kupersmith: I’m talking about the – however you calculate orders, the amount of dollars per retail order.
Farooq Kathwari: Our average order is approximately the same as last year.
Matt Kupersmith: Okay. And I guess I’m trying to understand how weather impacted the quarter, again the retail business more specifically. And you guys put up a negative 9% comp. But it looked like only a pretty small number of your company-operated stores were actually closed for either the hurricane events. So maybe you could put some more metrics around it? I know one of your competitors and Havertys has reported some specific metrics in how weather impacted them?
Farooq Kathwari: Corey?
Corey Whitely: Yes, what I would say is on that delivered sales for retail which you’re referring to, the written orders were actually up. On the delivered sales there were two things that had an impact on delivered sales during the quarter and part of it was the hurricane impact and then also the new product production, the first-run production of new products and our plans both for the State Department orders and the new Passport collection. So as the wholesale backlog increased, as Farooq mentioned, that also had some impact on shipments being delayed to retail which then created the impact of the retail backlog increasing a little bit then as well. So had retail backlog not increased, then those orders would have flowed through the delivered sales and it would have been a much less of an impact. So it’s really a combination of both the hurricane as well as new product production.
Farooq Kathwari: I think the other difference I will say in our case is that our written sales increased despite the hurricanes and everything else. It is our delivered business that was lower. So please keep that in mind.
Matt Kupersmith: Okay. And I think last quarter you guys commented on sort of a real-time look at orders in July. Can you provide that for October?
Farooq Kathwari: It’s a little bit early. I think the reason it’s early is because this one week is going to determine how well we do. We do get 40% to 50% of the business unfortunately in the last week of the month. So this is a very critical month for October. We’ve got strong programs, some initiatives and so we’ll be able to get a better understanding obviously after the end of the month.
Matt Kupersmith: Got it. Okay. All right, thanks, guys.
Farooq Kathwari: Thanks very much.
Operator: Thank you. Our next question comes from the line of Budd Bugatch from Raymond James. Your question please.
Farooq Kathwari: Hello, Budd.
Robert Griffin: Hi. It’s Bobby actually filling in for Budd, but I appreciate you taking my questions. Most everything has been answered, so I just kind of have two quick follow-up questions. But Corey on the detail about the delivered comp, is there any way to parse or help us understand what was the bigger impact? Was the hurricane the bigger impact of driving the down 9% delivered comp or was the Passport collection delaying the delivered orders the bigger impact?
Corey Whitely: Yes, the bigger impact was the combination of State Department new product production and orders and the Passport and then the secondary impact was the hurricanes.
Robert Griffin: Okay.
Corey Whitely: Because new production affected everybody.
Robert Griffin: Okay. And then the last one from me on the first-run production and some of the inefficiencies that impacted gross margins, moving forward now that you have that, you would expect everything to kind of return back to normal in terms of efficiency or does it take more than just a quarter or so on a first-run production basis to get back to a level that you’re used to for production.
Farooq Kathwari: Bobby, about – in the first-run, about 70% or so will be over and then about 30% will go to the next quarter. But most of it is behind us.
Robert Griffin: Okay. That’s helpful. And then I guess real quickly, Farooq, the comments about the retail margin and the goal 5%, how does that play into kind of your thoughts about your store base today, being 150 company-owned stores? Is that a number you’re comfortable with or do you still see room for real estate expansion? How do we think about that in our model kind of on a couple year basis, long-term basis?
Farooq Kathwari: Yes, Bobby, I think that 5% is something we’ve got to do. What it will require is really some incremental business because our overheads are covered. That’s what it’s going to do. As I said, our top – 10% of our top design centers average over 8%. So our objective is to do that by the fact that we are in better locations, we have stronger teams and now we need more volume and that’s where our focus is. And as we go forward, we have to a great degree completed the transformation of our design centers. 60%, 70% of the stores that we acquired we have now relocated. Because some more will be done, but I believe that the pace of change is going to be much, much less. So that will give us an opportunity not to have these start-up costs for our retail. And as you know we don’t give them separate. We give them as part of our expenses.
Robert Griffin: Yes. And my apologies, this might be something you’ve touched on in the past and if so I apologize for asking it. But out of the 150, do you have any type of statistic of how many of those you’ve touched kind of in the last couple of years in terms of maybe relocations or redesigns or anything like that to give us a sense of how much is in kind of the new and modern day style or location?
Farooq Kathwari: As I said, I will say that at this stage it is – this is a process that continues. 10, 12 years back that’s before the great recession, things were different, so we were opening 18,000 square foot stores in great locations. Today, we’re opening 8,000 to 10,000 square foot locations. But I would say that while the process will continue, the majority I would say 80% plus of our stores are in the locations they need to be today.
Robert Griffin: Okay. I appreciate all the additional color, very helpful. Best of luck going forward.
Farooq Kathwari: All right, Bobby, thanks.
Operator: Thank you. [Operator Instructions]. Our next question is a follow-up from the line of Jeremy Hamblin from Dougherty & Company. Your question please.
Farooq Kathwari: Hi, Jeremy.
Jeremy Hamblin: Hi. Thanks for the follow-up opportunity. In terms of those top 10% of your stores that are generating 8% margins or better, what are their average unit volumes?
Farooq Kathwari: Its average is something but maybe Corey can look at it. But Jeremy I would say it’s interesting they can range from 3 million to 15 million. It all depends upon where they are, what their occupancy cost is, what their other cost are, how much of sales they are doing relative to their total expenses. So it is right across the board. Right, Corey?
Corey Whitely: Right.
Jeremy Hamblin: Okay, fair enough. And then just other follow up here. Your gross margins, it sounds like that was impacted by a couple of things; first-run productions clearly, some logistics issues related to the storms. You still generated a pretty solid gross margin given those headwinds and having sales down over 6%. Do you still feel comfortable kind of 56% as a target for your gross margins even though your business is likely to skew a little bit towards your wholesale division over the next couple of quarters?
Farooq Kathwari: That’s a good question. If you take a look at our gross margins; fiscal 2015, we had 54.5; fiscal '16, 55.7; fiscal '17, 55.8. And of course one quarter we went over 56%. That is the first quarter of last year. So I would say that having 55%, 56% is a very healthy gross margin. The more important issue is having higher stock line. That really then drives it down to the bottom.
Jeremy Hamblin: Right, understood. I guess the point that I’m driving at is even though you do have much better operating margins with your wholesale business, but I’m assuming that you’re not going to have the hurricane impact this current quarter or the next one likely unless we have more, but I’m assuming that just because you’re going to have a higher skew of wholesale business typically that does relate to a little bit lower gross margins overall.
Farooq Kathwari: It does. You’re absolutely right. And see what I think we need to keep really in mind is the operating margins.
Jeremy Hamblin: Right.
Farooq Kathwari: The gross margins are fine but it’s operating margins that really matter. And that’s where we have the opportunity. Gross margins are also – and both are impacted by even some of our special offers, our discounts. So we just continue to assume that today we have to stay relevant. We have to always – every month we got to figure out what should we do that would maintain our credibility with our clients, with our designers and also create something special for our clients. It’s not easy because over – everybody else is there giving 60% to 70% off every day and that’s what we have to deal with. How do we convince new people to come in when we give 20% discount for us is a major thing. But for new customers they’re used to something different. So we have to content with that and I think what I’m really looking at is maintaining a healthy gross margin but really more importantly maintaining a healthy operating margin.
Jeremy Hamblin: Agreed. All right, guys, good luck. Thanks.
Farooq Kathwari: All right, Jeremy, take care. All right, Jonathan, I think that should do it, right?
Operator: Yes, sir.
Farooq Kathwari: Any questions, any comments, please call Corey. Thanks very much and good to talk to everybody.
Operator: Thank you. And thank you, ladies and gentlemen, for your participation in today’s conference. This does conclude the program. You may now disconnect. Good day.
Farooq Kathwari: Thank you, Jonathan.